David Sleath: Well, good morning, everybody, and welcome to our full year 2022 results presentation. Thank you very much for taking the time to join it here in person or, indeed, online. As usual, I’m going to make a few opening remarks, and then we’ll dive into the not-inconsiderable detail of the presentation. Now much of the debate a year ago was around the transitory or structural nature of inflation. And our overriding assumption was one of continuing momentum in both occupational and investment markets. And what a difference a year makes. So war in Ukraine, continuing lockdowns, widespread labor shortages and the consequential supply side tightening caused inflation to spike and gave central bankers the opportunity to put an end to the era of free money. With rates rising and a cost of capital reset taking place through the second half of the year, real estate investment markets more or less ground to a halt. Most buyers and sellers decided to sit it out and wait and see what happened. And as a result, prices drifted downwards in search of a new level. Clearly, SEGRO has not been immune to all of those pressures. But despite all of this, there is much for us to be pleased and proud about in 2022. Occupier markets stayed very strong, with take-up almost matching the record 2021 levels. We delivered some excellent operating results from our own portfolio, and we’ve made some terrific progress with our Responsible SEGRO commitments. These results are once again the product of our clear and consistent strategy. Our disciplined approach to capital allocation has created one-off, if not the best portfolios of industrial and logistics assets in Europe, focused on markets with the most attractive fundamentals. Asset prices and, in particular, property yields are driven by macro factors and are clearly outside our control. But the quality of our portfolio is the reason why we were able to deliver 11% growth in ERV during 2022, which helped to mitigate the effects of the significant market yield expansion, thus limiting our H2 valuation decline to 17% and 11% overall for the year. Operationally, we generated some impressive results, a record level of new rent signed, significant reversion capture and strong like-for-like growth -- growth in like-for-like rental income. And despite the market turmoil, we’ve continued to deploy capital into our highly profitable development program as well as acquiring some exceptional new sites, which will provide further opportunities in the future. This has been possible thanks to having the right capital structure, which has been further enhanced by a busy year of financing, leaving us with modest leverage, very substantial liquidity, a low and almost entirely fixed cost of debt and a very long debt maturity profile. Meanwhile, we continue to invest in the future of our business through our Responsible SEGRO commitments. And we’ll have meaningful progress to report to you on these, which I’ll come on to later in the presentation. As we look ahead, we’re feeling optimistic, notwithstanding uncertainty about the macroeconomic environment. Occupational markets remain in very good shape, with encouraging levels of leasing and new inquiries occurring in the new year. The health of our very diverse occupier base is good. Most of our customers are coping well with increased cost pressures, and our watch list remains small. Long-term structural tailwinds continue to drive demand for warehouse space, and these trends are much broader and more enduring than the near-term behavior of any single occupier or, indeed, the next quarter’s GDP. Vacancy rates are also low across all our markets, and we expect them to remain so with new speculative supply likely to decrease. All of this points to continued rental growth and profitable development activity. As I said at the half year results back in July, I believe our portfolio is in the best shape it’s ever been in. We spent the last decade carefully creating a super-strong, modern and well-located pan-European portfolio that will perform through the cycle. 2/3 of it is in the most supply-constrained urban markets, and 1/3 consists of high-quality logistics parks situated in prime locations along major transportation corridors. We have an exceptional land bank, providing us with future growth potential. And our market-leading operating platform with people on the ground in all the key markets helped us to respond quickly to changing market environments and seize opportunities that come along. Our customer base is highly diversified, with no single name or industry segment dominating. The vast majority of our buildings are extremely flexible and adaptable to many different uses. The sheer diversity of occupiers, the wide variety of uses our buildings are put to and the dynamic nature of the market are underappreciated by many, particularly in our biggest urban markets. Our experience is that wherever we find large numbers of people and businesses clustered together in a major city, there’s always going to be demand for space from any number of new or existing occupiers. And the bigger the city, the more diversity and dynamism that we see. So now on to the main body of the presentation. Soumen will cover our resilient financial performance. Andy will then explain the strong operating metrics. I’ll highlight the progress we’ve made with Responsible SEGRO and then turn to the outlook for the business. So Soumen, over to you.
Soumen Das: Thank you, David. Good morning, everybody. So David highlighted the resilience of our business as a result of that long-term and consistent strategy, and I’ll talk you through now how that’s translated into our financial performance through 2022. So starting on Slide 8. This slide shows you the key financial metrics for full year 2022. Adjusted profit before tax is up 8.4% year-on-year to £386 million. Adjusted EPS is up 6.5% to 31p. Excluding the impact of the sub-performance fee, which I’ll talk about in a moment, the EPS growth rate would have been 10.7%. The full year dividend has been set at 26.3p, reflecting that earnings growth. The portfolio is valued at £17.9 billion, a decrease of 11%, which has led to a 15% fall in NAV per share to 966p. But despite that fall, the balance sheet continues to be strong, with loan-to-value at just 32%. Now on Slide 9. As we’ve done on previous years, it’s important to put the single year performance into some longer-term context. Now this slide shows you the business has delivered very consistent and attractive returns over a number of years. Through the cycle, we cannot control yields, but we can drive performance through our investment decisions in our portfolio and the operational activities to increase rental income. So you can see that passing rent has grown 13% per annum since 2016, and that’s led to CAGRs on earnings and on dividends per share of 9%. And NAV per share has shown a very attractive CAGR of 12% since 2016. This is extremely strong, consistent and compounding financial performance. And as Andy and David will talk about, we believe there is still a lot more to come. Now moving to Slide 10, and this is the usual slide that looks at our net rental income growth, which is the key driver of earnings. Net rental income grew £83 million in the year to £522 million, an increase of 19% year-on-year. And there are 3 main contributors to that growth. Firstly, rent on the standing portfolio grew £28 million. Now this continues a trend that we highlighted in the first half, which is our portfolio is very well placed to capture rental growth in this current higher inflationary environment. The like-for-like growth rate for the group was 6.7%, the highest we’ve ever reported, benefiting from high levels of reversion in the U.K. and indexation on the continent. The second big factor for the increase in net rent are development completions, which added £43 million. And thirdly, investment activity also has had a material impact resulting from activity over the past 18 months. Acquisitions, mainly of income-producing sites for future redevelopment, added £33 million to net rent, which is offset by £14 million due to disposal. Turning now to the rest of the income statement. So Slide 11 looks at the key lines of the income statement. And you can see in the table that the growth in rental income, which I’ve just talked about, feeds through to growing profitability. However, you can all see the finance costs have increased during the year from £40 million to £74 million. That is due to higher rates, mainly on our new debt, although there is some partial offset through capitalized interest, which is higher. We’ll continue to see the impact of the higher interest rates through 2023. Now as a result, adjusted profit before tax grew 8% to £386 million, and EPS was up 7% to 31p. Now a quick recap on the SELP performance fee. Now you’ll recall that we’re potentially due a fee from our joint venture, SELP, at the 10-year anniversary, which is this October 2023. Now the calculation is very sensitive to valuation movements as it’s based on the excess return over a base level IRR. Now sitting here today, given the level of market volatility, it is impossible to know what the fee will be come October. But we are required by accounting standards to make a judgment at each accounting date. So we’re adopting a conservative approach by not recognizing any fee in account for 2022. Now that does mean that we’ve reversed the net fee of £21 million, which we recognized at June given the valuation decline since then. Now this will continue to be a matter of judgment at the June reporting date, until this is confirmed in October. Turning next to the portfolio valuation. We’re on to Slide 12. So 2022 was a year of 2 halves: the very strong positive momentum from 2021 carried into the early part of ‘22; and the investment market was very active for the first few months of the year. However, the uncertainty and the volatility in the capital markets inevitably spilled into the property investment market, reducing to reduce -- leading to reduced liquidity in the second half. Now whilst we’ve not seen any distress, there were certainly some motivated sellers who had to transact in very thin markets. The values have, therefore, had to exercise greater judgment as there has been limited comparable evidence of transactions involving prime portfolios held by well-capitalized owners such as us. So we value the portfolio as at 31 December at £17.9 billion. That’s a decrease of 11% over the whole of 2022. For the movement in the second half of ‘22 was down 16.6%, and that’s shown on the bottom line of the slide. We don’t yet have the index data for Europe, but we have outperformed our U.K. benchmark, demonstrating the resilience of our portfolio due to all of the portfolio and the asset management work that we undertake. The valuation fall in the second half was £3.6 billion. And I was saying a couple of slides ago, it’s important to keep this in context. That fall comes after a valuation increase of £6.7 billion in the 2.5 years since the beginning of 2020. Now on Slide 13, you can see how the valuation assumptions have evolved. The valuation fall has been entirely yield-driven, a 100-basis-point yield shift upwards whether you measure it from December ‘21 or June ‘22, as yields were fairly stable in the first half of last year. But on the other hand, rental growth was very strong, one of the strongest years we’ve ever reported at 10.9%. Now rents moved up in every market. Poland saw one of the largest moves, illustrating the effect of continued occupational demand when combined with much lower levels of new supply. The contrast between yields and rent demonstrates how the valuation movements have been entirely driven by the cost of capital reset. The fundamentals of our business, which are driven over the long term by the demand for space from our customer base against historically low vacancy levels, remain very healthy. And if you assume long-term rental growth rates in the range of 3% to 6%, in line with our typical guidance, then that 4.8% property yield will offer unlevered IRRs of 8% to 10%, which we would suggest are very attractive in a long-term context. So now moving on to financing and on Slide 14. We are very active in the debt markets last year, raising funding for our investments in the further profitable development, either through CapEx or replenishing our land bank. We’re able to time our deals in what was a very volatile year in the capital markets using the karma period to dip into the market with our largest single transaction, a EUR 1.2 billion issue in March. We use multiple markets to diversify our funding. We’re active across bond, bank and U.S. private placement market and in euros and in sterling. We issued 2 modestly sized long deals, the U.S. private placements and the sterling bond, which raised just over £500 million between them of 19-year money, but that allows us to pick and choose maturities at the short to medium term, which for the bulk of our funding activity. And overall, our bonds in our private placements provide an average 10-year money at an average rate of 2.8%. And on top of that, we put in place some additional capacity working with our existing and some new banking relationships. And the graph on the right-hand side shows you that the funding was used mainly to fund our investment activity with a small amount needed for refinancing, and our liquidity has grown to over £2 billion. We can use this both to fund our normal levels of CapEx, which we expect to be above £600 million this year, but also to give us firepower if the investment market throws up new opportunity. Moving to Slide 15. And it’s worth emphasizing that we have one of the longest and most diverse debt structures in the sector as a result of that funding activity. Average debt maturity is just under 9 years, exactly the same as it was a year ago. The graph illustrates that we have debt stretching out to 2042, and the maturities are well spread out over the next 20 years. There are no material debt maturities at the SEGRO level until 2026, so we have no refinancing needs. 95% of our debt is fixed or capped, and 2/3 of those caps are in the money. And that provides very healthy protection against any further rises in short-term rates. And so bringing that together to summarize our financial position on Slide 16. We have an extremely robust and liquid balance sheet, and we are one of the very few real estate companies globally with a single A credit rating. Despite the higher average cost of debt, our interest cover is 4.5x. Our approach to balance sheet management mirrors our portfolio management. We’re a long-term investor in what are cyclical markets. So we need to manage leverage for both the up and the down cycles to ensure we have the capacity to invest in the business on a consistent basis. You can see on the graph how we kept our loan to value low over the last few years. And as a result, despite the valuation for, our loan to value is still only 32%, and our values would have to almost halve from here before we hit any gearing covenants. So turning to Slide 17 and summing up on the financial slide. By continuing to invest in the business to capture the occupier demand, we delivered earnings growth of 7% through 2022, driven by reversion and indexation within the existing portfolio, alongside development activity to add new rent. We’ve increased the dividend by 8%, reflecting those operating results, a payout ratio of 85%. Our portfolio valuation fell 11% with, the cost of capital reset causing yields to rise but partially offset by the rental growth on our resilient prime portfolio. And our balance sheet remains strong to continue to fund our future growth. And with that, I’ll hand you over to Andy.
Andy Gulliford: Thanks, Soumen, and good morning, everyone. Soumen has outlined the resilience of our financial results. I’m going to take you through our operating performance and provide some color on the demand we’re seeing from our customers. As David mentioned in his introduction, occupier markets have continued to be favorable throughout 2022. And we’ve seen strong, broad and deep demand across our portfolio. This supportive backdrop, along with the active asset management of our portfolio, helped us to sign a record £98 million of new rent in 2022, a large increase on ‘21, a year that we thought would be hard to beat. As you can see from the chart, new rent on existing space contributed very strongly this year, £31 million versus £15 million in ‘21. The contractual index-linked uplifts that we have on almost half the portfolio and the capture of reversion on our U.K. open market rent reviews were both very significant. In addition, we had another good year signing leases on new space. We contracted £41 million of pre-lets to be delivered over the next 2 years. Some were to existing customers like Virtus on the trading estate, and others were completely new to the portfolio such as Bosch and Maersk, the latter being attracted to the high connectivity offered by our strategic rail interchange at East Midlands Gateway. We also saw high demand for our recently completed speculative space. Letting activity at Hayes and Tottenham, the latter, our new urban estate, only completed in the final quarter of the year, was matched on the continent within urban schemes in Paris and Frankfurt. Demand continues to be very diverse. The logos on the right highlight that. Notably, there was a definite theme of customers looking to improve their supply chain efficiency and build in more resilience. We saw increased take-up from manufacturers but also from 3PLs servicing both those manufacturers and retailers. It takes several years for supply chains to be reconfigured, and this is another example of a long-term driver of occupier demand that we’ve been talking about for a while now. Turning now to Slide 20. The active management of our portfolio continues to deliver strong operating metrics. Returning again to new rent from existing assets, you can see from the chart on the left that a large contributor was the 23% average uplift on rent reviews and lease renewals. That was 28% in the U.K. due to the 5-year review structure and 2% from Continental Europe where we benefit from annual index-linked leases. Our retention rate stayed high at 76%. We do continue to take back some space when the opportunity occurs to move rents forward and capture that reversionary potential. Our letting success meant that occupancy stayed high at 96%, which is at the upper end of our target vacancy of 4% to 6%. And just to note, much of that vacancy is speculatively developed space we completed very recently and expect to let in ‘23. Moving now to our development program. We completed well over 600,000 square meters of new space during 2022. This equates to £46 million of potential headline rent, with 80% already leased at year-end. We managed our construction partners closely to ensure materials and labor shortages, coupled with some supply chain disruption, did not unduly impact our program. While costs increased, we were able to maintain our margin through increased rents. The yield on cost at 7.4% shows development remains highly accretive when well controlled. It’s also worth noting that this yield is higher than we presented for our current development program this time last year. We outperformed by beating the rental levels used in our underwriting assumptions. And despite investment yield expansion experienced during the year, we still returned a very attractive profit on cost for the developments. All of the development completions were rated BREEAM very good or higher, our certification target when we started the projects on site. 68% are already or expected to be BREEAM excellent or higher. And with the introduction of our new, even more ambitious targets, we expect this number to increase. Specifically for the scheme in Tottenham, we’re not aware of an industrial development in London that has achieved a higher BREEAM score. Slide 22 shows some of our development completions. 2/3 of the program was big-box warehousing, including our first unit at the high-tech food campus SmartParc in Derby for HelloFresh as well as one of the last units at East Midlands Gateway for CEVA. On the continent, we completed 380,000 square meters of big-box space, with some particularly sizable pre-let schemes for manufacturers Alstom and Stanley Black & Decker. And as mentioned earlier, we also completed highly successful speculative schemes in the supply-constrained markets, urban markets of Frankfurt, Paris and London, and added another multilevel data center on the Slough Trading Estate pre-let to Iron Mountain. Net investment during 2022 totaled £1.3 billion and continued to prioritize our highly profitable development program. We spent £638 million on development CapEx and a further £149 million on infrastructure, mainly at our Midlands big-box schemes. These infrastructure works are now nearing completion, so that spend will be lower going forward. We estimate about £100 million in 2023. We also spent £451 million on land ready for development, and that included a cracking site adjacent to our successful scheme near Berlin Airport, which will allow us to more than double the size of the whole park, and also a number of plots on the continent which have potential for data center development. We invested another £261 million into income-producing land, which includes estates for redevelopment in supply-constrained markets such as London and Düsseldorf. We also acquired a number of smaller investments that neighbored existing ownerships, which provide longer-term asset management and redevelopment potential. Turning to disposals. We sold £367 million of assets, and that included a high-specification unit we built for Zalando in Verona, which crystallized profit during the strong investment market of the early part of the year; some smaller, stand-alone warehouses in noncore locations on the continent; and an Italian portfolio, which we transferred to our joint venture, SELP. We will continue to be disciplined in our approach to capital investment during the coming year. We’ve adjusted our hurdle rates to account for the higher interest rate environment to ensure we deploy capital profitably. We will also continue with selective disposals to recycle capital when market conditions and suitable pricing allows. And with that, I’ll hand you back to David.
David Sleath: Okay. Thanks to Andy and Soumen. On now to the next section, which is about our progress with Responsible SEGRO. It’s now been 2 years since we told you about our ESG framework, which has 3 clear focus areas. These are the areas that will help to secure the future of SEGRO. They’re the areas that matter to us as a business, to our people and our other stakeholders and the areas where we felt we could make the most meaningful impact. And I’m delighted by the momentum that we’ve already achieved in a relatively short pace of time and particularly by the drive and the determination with which everybody at SEGRO is embracing and approaching these commitments. There were some very significant achievements with our low-carbon growth strategy in 2022. We’re one of very few in our sector taking responsibility for our customers’ emissions within our net-zero carbon commitments. Key to this is having good visibility of those emissions and then helping to influence their reduction. During 2022, we improved visibility by 14% and now can see what’s going on in 2/3 of our entire portfolio. This will be driven higher as we increasingly introduce green lease clauses to new contracts. We increased our solar capacity across the portfolio by 34% in the year, which is helping our customers to reduce their emissions. We’re now installing panels and have been for a while on all our new developments. But now we have an active program to retrofit them to existing buildings, and one such scheme in the Netherlands this year added a massive 6 megawatts of capacity in 2022. What’s 6 megawatts? Roughly the equivalent of powering 1,500 homes. So it’s a big investment. On development, we’ve reduced the average embodied carbon intensity of our new projects by 10%. That’s been helped by detailed life cycle assessments and the use of low-carbon materials in the construction process. Last year, we talked to you about the framework for our Community Investment Plans, which are focused on providing training and employment opportunities for local people, creating opportunities for local businesses to become involved in our supply chain and improving the physical environment in and around our estates. This year, I’m proud to tell you that we’ve launched 10 of these plans across the group. And they’re already beginning to build momentum and starting to create real outcomes that are changing the lives of people who live in the communities around our estates. Not only are these plans inspiring, engaging our own teams, but we’ve started involving our customers and suppliers in these programs and have found significant alignment and engagement with them, which is ultimately going to improve the outcome of our own initiatives many times over. And I’m also pleased to say we’ve become a fully accredited supporter of the U.K. Living Wage Foundation and are making great progress in ensuring that everybody in our supply chain receives at least the real living wage. And then finally, on this piece, let’s talk about nurturing talent, which is probably one of the hardest areas in which to effect change in the short term but one of the most meaningful in terms of the future of SEGRO. The strength of our operating platform and the ongoing success of our business relies on our ability to attract, develop and retain high-quality people with diverse perspectives and backgrounds. We talked last year about achieving national equality standard accreditation right across the group, and during 2022, we’ve improved processes and put in place a number of actions to address the NES’ recommendations for how we can foster an even more diverse and inclusive workforce. So for example, we’ve changed our recruitment process around gradual intake. We’ve taken part in the 10,000 Black Interns scheme. We’ve undertaken further D&I awareness training across the business, and we’ve launched a new management academy. These and various other initiatives, no doubt, contributed to our achieving a top quartile 91% engagement score in our latest employee survey. But we recognize this is only the start, and we have a long way still to go, but encouraging progress with Responsible SEGRO nonetheless. So now let’s talk about the outlook. It’s quite evident to us that these long-term structural themes are continuing to drive demand despite the weakness in the global macroeconomic environment. Every week, there are headlines about one particular online retailer. But as we said in the past, there are many others still playing catch-up in the digital world and generating demand for space. There are also many retailers, manufacturers and distributors who are investing for resilience and better supply chain efficiency, and Andy referred to a couple of examples that we’ve seen this year. Urban population growth will continue to drive demand from new and existing uses and will limit the availability of new industrial supply. And pressures around sustainability as well as higher fuel costs will continue to drive occupiers to want modern, low-carbon and really well-located buildings. So in 2023, we’re continuing to see very good interest in new and existing space from a wide variety of occupiers, and we expect this to continue, thus fueling more rental growth and profitable development. But even without further rental growth or, indeed, new developments, we have £130 million of reversionary potential in the portfolio. That’s increased by almost 50% despite securing £28 million of rental uplifts in 2022. As you can see from the right-hand side, the majority of this can be captured in the next 2 years. We’ve got the U.K., which is subject to the usual 5-yearly rent review clauses. And on the continent, as Andy touched on earlier, we’re benefiting from annual indexation uplifts, so almost automatically. But you can see there’s £44 million of reversion to play for in 2023 alone, which includes £16 million of negotiations carried over from 2022. With those structural tailwinds and a favorable supply-demand dynamic in all our markets, we continue to expect further rental growth. We’ve maintained our medium-term growth -- rental growth guidelines as we believe that over time, the record levels of rental growth we’ve seen during the pandemic and more recently will moderate closer to these longer-term averages. But as Soumen said earlier, putting those growth rates on top of current investment yields, we think, offers an attractive unlevered return. On top of the existing portfolio, we also have tremendous potential to drive profitable growth from our exceptional bank of land and redevelopment assets. This comes with the benefit of considerable optionality due to the relatively short construction periods, meaning that we can easily adjust our capital expenditure up or down according to market conditions with our preference continuing to be biased towards pre-leased development projects. We saw significant cost inflation during 2022. But regardless of this, we’ve been able to maintain our expected development yields as a result of higher rents. So the development program continues to be a profitable source of top line growth, still offering 150 to 200 basis point margin over the valuation yield of completed projects. And for land already on the balance sheet, there’s a very appealing yield on new -- of yield -- appealing yield on new CapEx of 10% or more on most projects. So the growth potential embedded in our existing business looks something like this. And you can see we’ve got, starting on the left, £587 million of current cash passing rents. We expect to increase that by £297 million or 51% by capturing the existing reversionary potential in our existing portfolio and by completing the current and near-term development projects. From the previous slide, you can work out that we need to invest only £506 million of additional capital to access that first chunk of growth, which is largely baked in. Then we’ve got another £446 million of opportunity on the remaining land bank and on optioned land and land under contract. So the overall potential we have now is for £1.3 billion of cash passing rents, which is 20% higher than last December’s figure as a result of our land purchases and ERV growth. Of course, all of these figures will increase further as inflation will drive additional indexation uplifts, and ERVs will continue to rise. Furthermore, we have not included the additional uplift from redeveloping and intensifying existing income-producing investment assets, of which we have several. So let me summarize our view on the outlook, and I’ll start by just making a couple of comments about the investment market because quite clearly, there was a disconnect between investment markets and occupier markets during the second half of 2022. In terms of the investment market, the start of 2023 has seen some encouraging early signs of increased activity, helped no doubt by a little less volatility in capital markets. Liquidity appears to be returning to our sector as many investors like us retain their conviction in the long-term fundamentals and see current pricing levels as an attractive entry point. And I expect this will gain momentum as and when the path of interest rates becomes more evident over the coming months. Occupier markets continue to be encouraging. There’s been little evidence so far of any business- or consumer-led slowdown. And on the contrary, as I said earlier, 2023 has gone off to a positive start with a good level of new inquiries and leasing deals. We think the structural tailwinds will continue to provide strong support. We expect speculative supply to reduce. So the supply-demand balance should remain favorable even if there were to be some slowdown in take-up. Our modern portfolio, which is very sustainable and in prime locations, is ideally placed to capture further rental growth whilst our land bank offers us the ability to deliver a lot of development-led growth on top of that with an attractive return on investment. So all of these things, alongside our market-leading pan-European operating platform and the strong balance sheet Soumen talked about earlier, combine, we think, to provide a unique competitive advantage which bodes well for 2023 and beyond. So to recap, we’ve shown a resilient financial performance in 2022 in the face of quite extraordinary macroeconomic pressures. The reduction in asset values and NAV caused by the cost of capital reset has been mitigated by our rental growth. We’ve delivered a strong operating result with a record level of new rent commitments and impressive like-for-like rental growth. We continue to invest in the future of our business and are making meaningful progress with our Responsible SEGRO commitments. And 2023 has started well, both in terms of occupier and investment markets. So we do remain confident in the outlook for our business. So thank you for your attention. We’ll now move to questions. We’ll, as usual, take questions from the room first, and then we’ll open up the webcast and the conference line. So we’ve got a couple of mics roving around. Who would like to go first?
A - David Sleath: Hemant?
Hemant Kotak: Hemant Kotak from Kolytics. Very good results considering the circumstances. Just a couple of questions in terms of the last few slides that you presented. So what type of economic environment are you expecting? Because you’re obviously saying that demand is expected to stay robust. What is the economic climate? And what is the risk to that view basically? And then the other side is you’re saying demand is strong but also that supply -- you speculate that supply is likely to come down. What is the risk to that as well, please?
David Sleath: Yes. Well, good questions there. I gave up a long time ago trying to predict the economic environment or indeed what’s going to happen to investment yields. I think the point we’ve tried to make, and we’ve alluded to it in the presentation, is we’re setting the business up with considerable optionality. We can adjust course and speed according to how the market evolves from here. We do think, as we’ve said repeatedly, we’ve got some very strong structural drivers. So we think actually, in terms of occupier demand, that will continue to be positive even if there is a broader macro-driven slowdown, but it would be crazy to suggest that it will be completely immune. But at the moment, occupier demand is looking quite good, and we hope that will continue through the year. But even if it does, you saw the slide on vacancy rates. Vacancy rates are so low everywhere. And with elevated construction costs, higher financing costs, I guess, more uncertainty in terms of where do -- what the investment yields, a lot of developers will struggle to get their funding packages in place. So our expectation is there will be less construction starts in -- certainly of a speculative nature, in 2023. So even if there were to be a slower occupational environment, we think that the supply-demand tension is going to remain intact. So who knows? I think the one thing I would say about the macro environment is it’s more uncertain than it has been for a while. It certainly started more positively in 2023, but it’s far too early to conclude that we’ve got clarity about how things are going to play out for the rest of the year.
Hemant Kotak: A couple of more quick ones. So one on the -- effectively, the growth rates, what are you -- you’re expecting reasonably strong growth rates that you’re expected to continue even in a downturn because of the lack of supply.
David Sleath: Yes, we have. We’ve given you are range. I mean you’re talking about the ERV growth rates. We’ve given a range. We -- I probably regret the first time we put this slide up, but it must have been about 5 or 6 years ago. But we gave a range of growth rates. It’s fair to say that in the last few years, we’ve massively outperformed those growth rates, and we’ve slightly nudged up our guidance. But our view, it’s a range. Our view is any one particular reporting period we could be above or below and certainly very opposition in that range. But we’re pretty comfortable that is a sensible medium-term range of rental growth that we should expect in this sector because we do think there are structural demands that will drive the need for space. And we do think because of very limited land availability, almost nonexistent land availability in urban centers, very, very tight planning control over agricultural land almost everywhere now and extremely slow planning processes that the ability of the supply to tap in most markets be turned on significantly is very limited. So we do point to continuing ongoing rental growth, maybe not at quite the level we’ve seen for the last 2 years.
Hemant Kotak: And the divergence that you’re seeing between the U.K. and the continent, obviously, that’s been going on for a number of years. That’s pushing, I guess -- especially when you factor in the business rates in the U.K., that’s pushing the divergence even wider. How long can that continue for as a -- just generally? I mean that’s speaking to, obviously, the land availability point, I think, you talked to.
David Sleath: Yes. I mean, Andy, whether you want to add your perspective on this. But...
Andy Gulliford: Yes, when you say that -- I mean we’re absolutely delighted with the level of rental growth in both the U.K. and the continent and also in our big-box portfolio as well as our urban portfolio. In fact, this time, our big-box portfolio has outperformed on rental growth. The urban portfolio, we don’t see that as a midterm situation, Hemant, because as David said, urban land, urban sites are even more restricted and there’s a lot of demand. So anticipate that rental growth on the urban schemes will be stronger than big box. But it’s an absolute nightmare to get supply into the market, to be frank. And that’s -- I’ve never seen vacancy rates the way they are. And when you try and try and get something through planning, as David said, it gets really hard. Local authorities are sadly under-resourced, underfinanced. It takes an enormous amount of time. So just really don’t see any supply coming through in the near term. So I’m very confident about those rates moving into the future.
Hemant Kotak: Okay. Just one last question on with -- for Soumen, if that’s okay. Sorry to -- on SELP, just on the fee structure. I know it’s impossible, as you said, to forecast what it is. But can you just talk about the sensitivities, please, a little bit around the mechanics of that, please?
Soumen Das: Sure. Look, the fee as calculated at 31% of values would be EUR 160 million, of which our share would be 50%, so EUR 80 million. But the way the fee is structured is to say it’s calculated as the excess return over a base IRR. And therefore, it’s highly sensitive to where valuations land. And sitting here today, looking forward from here, we have very, very volatile market conditions. So a 10% move up or down would move that fee about £140 million to [£50 million] up or down. Now frankly, it will be what it will be. We’re required, as I say, under accounting standards to have to make a judgment. Our judgment is it’s very difficult with any confidence to put a number in the accounts. And therefore, we’ve ducked it and have not put any number in the accounts. And we’ll see where we are come October.
David Sleath: Okay. The next, Osmaan?
Osmaan Malik: Osmaan Malik from UBS. One of your early slides is really interesting. You showed the long-term growth rate in rental income, which is a very strong CAGR, I think, 13%, and long-term growth rate in some of the other metrics. The issue is it begs the question why earnings growth over that period hasn’t kept up with the rental growth. I was just wondering if you could give us your thoughts around that, and this is despite a period where interest rates have come down quite significantly. And I think looking forward, should we expect that relationship to flip now?
Soumen Das: Yes, of course. So the graphs on those long-term CAGRs on -- so Page 7 or 8 where it was. The -- so rental growth has grown because that’s a gross figure. And our rents have grown through a mixture of that like-for-like growth, which has been super strong in the last couple of years, but particularly through the development growth. And now you’ll be aware that over the last few years, we’ve also raised a reasonable amount of equity as part of our overall funding structure. So therefore, earnings growth, earnings per share growth and dividend per share growth has actually -- therefore, it’s been slightly diluted by the new shares in issue. That’s why the 13% you see in the rent -- the passing rental growth, that being a gross number and the per share number being 4% below that.
Osmaan Malik: Yes. I guess -- but looking forward, should we expect that now to flip around? Are we at a point where we can start to see additional earnings growth to close that gap?
Soumen Das: Look, it depends -- we’ve expanded broadly a lot. Equity has been a component of that. Today, we sit here today with a 30% balance sheet, lots of liquidity. We can continue to fund what we have in front of us. If there’s a headwind at all, it’s obviously the cost of capital. Interest rates are higher going forward. So the marginal cost of debt on our new borrowings is higher than it would -- than it has been historically. So -- but on the flip side, we’re capturing far greater like-for-like rental income growth, which costs no capital at all than we ever have done at all. So where all of that marries up, I’m not really sure. But I think our ability to produce good healthy levels of earnings and dividend growth forward from here, I think, remains fairly intact based on the occupier demand that David and Andy have talked about.
Osmaan Malik: And sorry, don’t get me wrong, the figures are impressive. It’s just an interesting gap that will open up.
Peter Papadakos: Peter from Green Street. One for Andy. There are more emerging regulatory risks. So in France, for example, there’s a discussion about solar panels on top of car parks, even on smaller sites. Barcelona has just sort of said, no dark stores and sort of trying to ban B2C logistics sites in the city. Can you chat a little bit about what other emerging regulatory risks you see in your business? That’s one question. And then just one on the investment market. I know it’s a little bit theoretical, but if you had to sell GBP/EUR 1 billion of 10 assets versus 10 assets at 100 million each, is there a portfolio discount today?
David Sleath: Okay. Right. Take the first one?
Andy Gulliford: Yes. So you’re right, cities generally are becoming a lot keener to see green ways of transporting goods, but we see that as a real opportunity for us. Number one, the locations of our sites and our assets are perfect to reduce transport miles, so to be close in. Clearly, if you’re a long way out coming in, transport miles are much less. And we’re doing a lot of work on renewables and EV charging, and we’re working with our customers really closely to make EV the method of transportation around cities. And I think that’s the way that it will go. So we see probably consolidation close to cities with EV vehicles coming out of those consolidation centers, and that plays really perfectly to our land bank and our existing estates. On your PV point, I’m going to comment more generally, it’s really more difficult than it should be to get PV on roofs. I mean we’ve got these beautiful flat roofs, and we want to get PV up there. The biggest sort of regulatory difficulty is actually doing an offtake to the grid and grids nationally not really being ready to receive. They’ve been ready to send out. And so it’s quite hard work. So we were absolutely delighted in the Netherlands in Tilburg, to get that huge array on an existing asset, a PPA to customer and an offtake to grid, and that’s what we’re working on. But it surprises me at times that governments and municipalities are not as welcoming, if you like, of green initiatives and the bureaucracy to get those green initiatives in play is quite hard. But we’re working at it, and we’re getting there.
David Sleath: The investment market one is quite difficult to really tell right now. I mean we made the comment that the second half of last year, there was very little liquidity. I think Soumen alluded to, there were a few sort of motivated sellers, but most well-capitalized owners and most of the sector is quite well capitalized. We’re just sitting on their hands. So there were a few transactions that happened in the latter part of last year, but there, apparently, were very, very few bidders for those. In this year, it’s still early days, but the early months and early weeks of 2023, there does seem to be a lot more investor interest in putting capital to work. Quite a number of parties we’ve heard of looking to transact on transactions. Now when you go from a market that has very little liquidity to one when liquidity is returning, I would expect that liquidity to return in smaller lot sizes. I don’t think -- I might be completely wrong, I don’t think you’ll see many very big portfolios trade in the early months of this recovery, if I can call it that. And certainly, most of the deals that we are seeing out there are relatively small lot sizes. So I think bidding would be stronger on those smaller lot sizes, the £100 million type portfolio instead of £1 billion, if someone was to put that in the market right now. But who knows? Marc?
Marc Mozzi: Marc Mozzi from Bank of America. Following up on this question about the investment market, let’s turn it the other way around. What would be the yield gap or property risk premium you would be happy to apply on any risk-free rate for you to invest in one of your -- in the building -- in a logistic building right now in the market?
David Sleath: Well, I mean I think we, both Soumen and I, touched on it that we look at current yields, investment yields, and we look at the rental growth that we think is achievable. And I think there’s reasonably good value there now. The only issue is we’ve got to make some choices and our particular priority right now is to deploy more capital into our development program, particularly on land that we’ve already got on the balance sheet because we made this point that we’re getting a 10% plus yield on the remaining capital. So we think that right now, there’s good value. But having said that, we know that there is still macroeconomic uncertainty. We don’t quite know the course of interest rates and the broader environment. So we will be seeing how it goes and taking appropriate steps, but the quality of assets that we have in our business and the quality of assets that we would want to buy, they don’t tend to trade very often. So I think you’ll probably see us putting more of our capital to work in development for a little while yet.
Marc Mozzi: Okay. If I understand you correctly, then your marginal cost of debt equal more or less the property yield you have in your book. That sounds to be a fair value for you.
David Sleath: It’s -- I’m not sure fair value is the word I would use. I would say it looks relatively attractive proposition if you believe you can get rental growth from the underlying assets.
Soumen Das: Yes, can I just follow up on that? I mean a very wise man I used to work for one time said, property yields are a function of lots of things. The simplistic one is people just compare it to the risk-free rate. But the reality is it’s about -- we keep talking about it, it’s the IRR. It’s the total return. And if you can deliver the levels of rental growth on the assets that we believe that are available, back to those, long-term structural trends, then it’s less about what the initial yield is on those assets, and it’s much more about what they’re overall in total is. And those 8% to 10% would seem to be attractive. And that’s what we would believe that the assets in our portfolio should deliver from here.
Marc Mozzi: Makes sense. As we have a clear visibility on top line growth, now you have set up your -- and fixed your balance sheet with no maturity by 2026, what sort of EPS growth should we expect for 2023? I’m not asking you for a specific number, but is it mid-single digit, high single digit, double digit? What sort of help can you provide us with here?
Soumen Das: Thanks, Marc. To be honest, we -- just as we don’t really look to forecast property yields, we don’t really give guidance on the earnings growth. What we’re trying to do is give you the various components and then let all of you in the room and on the phone model it up for yourself. Look, you’ve got various factors. You’ve got very good strong like-for-like rental growth, which the reversion in the indexation will continue for the -- to be on the latter as inflation stays high. You’ve got development income, which will come through, and you’ve got the yield and cost numbers through there. So that’s a very helpful tailwind. The -- as I mentioned earlier, interest rates are higher, and our net debt levels are higher. So that is a higher cost there. So if you took a look at that in the round, I think you’ll get good levels of earnings growth this year. What good looks like, I think, is in the eyes of the beholder.
Marc Mozzi: Makes sense. And a final question for me, which is what sort of ERV growth you delivered in H2? Have you done the math for your ERV growth in H2? Because we have the annual number, which is 11-ish, 10.9%. Do you know what is the number just for H2 on a sequential basis?
Soumen Das: If I -- I’ll check on back. But broadly speaking, that 10.9% splits about sort of 6.5% to 7% in the first half and 4.5% to 5% in the second half.
David Sleath: Okay. There is a slide in the appendices that gives that.
Max Nimmo: Max Nimmo from Numis. Just picking up on the land banking and the land market and talking about the supply constraints, and appreciate how much of the land bank you already have there. But on new land that you’re looking to land bank now, what are the discussions there in terms of pricing? And how reflective is that of the overall change in values that we’ve seen at a kind of -- at a portfolio level? Has that been reflected effectively?
Andy Gulliford: In the market, generally, Max?
Max Nimmo: Yes.
Andy Gulliford: Yes. To be honest, I think the term is price discovery at the moment on the investment market, as David was talking about, and that applies to the land market really as well. I think land owners probably haven’t come to terms with yields and capitalization rates just yet, and buyers are obviously, with financing costs and those sort of issues, standing off a little bit. So there isn’t a particularly active land market just at the moment. So we’ll see as that moves forward. But clearly, land values will come down if yields have moved out. That’s the trend. But I can’t say there’s tons of -- it’s a bit like the investment market, there’s not tons of evidence out there at the moment.
Soumen Das: And just to add, Max, just going back to your -- on that number, the 6-month ERV growth was 5.9% in the first half of ‘22, and the full year was 10.9%. So 5% was in the second half.
David Sleath: Okay. Any more in the room? If not, I think we might have -- we have a couple of questions on the phone lines. Okay. So let’s go to the lines.
Operator: [Operator Instructions] Our first question for today comes from Paul May of Barclays.
Paul May: Apologies I couldn’t be there, got a bit of a cold. Just wondering your thoughts moving forward, so obviously, LTV’s ticked up a bit. I understand that the [given] values have come down, I think, slightly above where you’re kind of targeting. Leverage probably increases further through development activity. Obviously, weighted average cost of debt moving up, as you say, marginal cost, not materially different to the property yield. Just wondering how you’re thinking about various funding sources moving forward and how you expect to continue to expand the business. I mean there’s a case to be made, as you’ve said, that things are arguably looking attractive from an investment perspective. Could this be an opportunity to grow more aggressively over the next few years?
David Sleath: Thanks for the question, and thanks for not bringing your cold into the room. Soumen, why don’t you make some comments on that?
Soumen Das: Yes. Of course, look, David and Andy have outlined the case for the occupier and the continued investment in it. We think we’ve got a great land bank, on that. As I said in my part of the presentation, the approach to our balance sheet is a long-term one. It’s about making sure -- you used the word, David, optionality. It’s about ensuring we have optionality at all points of the cycle. Now values have come off, but our loan to value is only 32%. We were in a position to raise significant volume of new capital through last year. And so we sit on £2 billion worth of liquidity. So we can continue to fund the development CapEx that we have in front of us this year and next and going forward. Now having said all that, we’ve also not been shy in the last sort of 6 or 7 years to kind of make the case to shareholders if we think there’s the opportunity to accelerate returns whether that’s by doing more, whether that’s by doing things quicker or whether -- because something new comes along that we haven’t yet seen. And if we think that that’s a possibility, then of course, equity is a component of potential capital. But as Marc rightly pointed out, where property yields have gone away, interest rates have gone, I mean, actually, the trade-off between selling assets and issuing equity or raising debt is much finer balance than it was -- it has been in previous years. So those are the things in our armory. But frankly and fundamentally, this has got to be opportunity-driven. And we can do what we need to do with the capital base that we have today. That’s exactly why we raised the capital, what, 3 years ago. But say, if we can do more, we’ll, of course, look to do more, and we’ll work out the appropriate way of funding that.
Paul May: Just to -- just a follow up on that. Do you have the capital to be able to invest if the opportunity were to come up? Because you say big portfolios aren’t on the market at the moment, but I think they could be given where yields have got to, given where return expectations are relative to where they were, given a number of the private equity investors have made a lot of money. So you could be in an opportunity to invest, and they could be quite large portfolios at some point over the next 12, 18 months. Do you have the capacity today to be able to take advantage of those? And would you happily see your leverage increase materially and then backfill the equity investment as needed? Or would you need to do equity ahead of any big acquisition opportunities?
Soumen Das: I guess we’re talking about hypotheticals, Paul, some I’m sort of going to give you a slightly unhelpful answer. It sort of depends on what the conditions are at the time, and it depends on what the opportunity is. If we feel there is opportunity bubbling and if we feel the market conditions are right, then would we consider preemptively funding to make sure we had the fire in place and the capital structure in place to go? Potentially. If it was a large single acquisition, we could raise the capital concurrently with the acquisition process. So in a sense, I’m afraid, it kind of depends. But it does keep coming back to, well, the opportunity, and also, the level of risk that we’re willing to take on our balance sheet will depend, frankly, on where the outlook for the market and the macro outlook particularly looks like, which, as David rightly said earlier, it would be foolhardy for us to speculate on sitting here today.
David Sleath: I think to what the politicians say, I’m not ruling anything out.
Peter Papadakos: I’m sorry, just the last one. Did you write down your land values at all in the second half?
David Sleath: Did we write our land values down? Yes, we did. We did write our land values down. It was a relatively modest write-down, I think, 12%. I mean most of our land has been bought over quite a long period of time at pretty attractive prices. So there has been a write-down in it. And frankly, it relates to the more recent acquisitions, which were more fully priced. None of which, however, we regret. They’re fantastic sites, and they will perform in the long run. But when yields move, that’s the impact. Thank you, Paul. Do we have any more questions?
Operator: Our next question comes from Pieter Runneboom of Kempen.
Pieter Runneboom: What are your thoughts on the net debt-to-EBITDA level? This number moved up to around 11x on our numbers. Do you believe this is sustainable and especially as the marginal cost of debt is now close to a valuation jaws?
Soumen Das: Yes. So look, Pieter, our net debt to EBITDA is -- well, it depends on what base you calculate. We tend to do a look-forward calculation based on the pre-let income we’ve got contracted, so it’s nearer 10. But I think many of you in the room have heard me say before that the reality, there is no single good measure of leverage. Loan to value is pro-cyclical, and obviously, the V is difficult to measure at a certain point in time. The problem I have with net debt to EBITDA is that it penalizes, well, development and it penalizes prime assets because with the same level of leverage, your secondary asset, which commands a higher yield, will have a better net debt-to-EBITDA ratio than the prime assets. And I’m not really sure that’s really right either. So an interest cover, as I mentioned during the presentation, despite the higher levels of interest rate, our interest cover is 4.5x. Our rental income can fall 80% before we hit covenants. So fundamentally, the level of leverage that we carry is a matter of judgment triangulating all the different measures that we have there to arrive at a judgment call. And our judgment today is actually that sort of 32% loan to value, given what we have in front of us, is entirely appropriate because it gives us that optionality and gives us in terms of what we might want to do whilst giving us the resilience that we really want as a business.
Pieter Runneboom: That’s very helpful. Another question, on discussions with the U.K. tenants. So you can increase rents by around 50%. We also see these tenants are facing increasing business rates, low economic growth, higher margins are under pressure. Would you give these tenants some breathing room? Or are you pushing rents to the next for these guys to, say, the ERV levels, which we see in your report?
Andy Gulliford: Well, we clearly have the very best stock and the very best locations. So we are looking for premium rents, and we want that rental progression as we’ve talked about in our presentation today. So we are pushing forward. Clearly, there’s some macro headwinds. And as you say, in the U.K., there’s business rates as well, which unhelpful. But from an affordability perspective, rent and business rates are a very small proportion of overall occupational costs if you take in transport and labor. So if you need to be in the best facilities in the best locations to serve your customers and get employees, then you will need to pay those rents. And they would typically be sort of 5% to perhaps 12%, 15% of total occupational costs. So we do think even with some of the macro headwinds, there is room to keep moving rents forward in line with our midterm forecasts. So we’re confident about that. Clearly, we work with customers. Some at the smaller end will probably face some difficulties, and we’ll work with them on that. I have to say, we saw in the pandemic, they were hugely resilient. And our insolvency levels are very small. Our bad debt levels are very small. Our rent collection levels are very high. So we’re pleased with the way things stand at the moment.
David Sleath: I think Pieter is gone. Any more questions, anybody?
Operator: Our next question comes from Craig Fenech [ph] from Kepler Cheuvreux.
Unidentified Analyst: Yes, just 2 questions as a follow-up for me. Could you comment on the deceleration of rental growth in the U.K. in terms of both ERV and like-for-like in H2 versus H1? And then we look at LTV and net debt to EBITDA but also see that your ICR ratio is currently down from 7 to 4x. Do you have a view on where it is going for 2023 and what would be the average cost of debt in 2023?
David Sleath: Okay. Soumen, do you want to pick up?
Soumen Das: Just on the latter one, of course.
David Sleath: The latter one first.
Soumen Das: Yes. So look, our cost of debt, as David was saying, is now -- is what I said as well. It’s 95% fixed or capped, and 2/3 of our caps have kicked in. So there’s very [rental] little sensitivity in terms of the in-place debt and the interest cost around it. New debt, marginal debt today, well, look, some companies will quote you their revolvers. The reality is we’re a long-term business, so you need to really look at your 10-year debt looks like because that’s really what you’re going to put in place long term. And that’s probably in the area of 3.5% for euros and 4.5% for sterling, give or take. So that will -- the income that we’re putting on will more than cover that. So I feel pretty comfortable with where our interest covers are.
David Sleath: In terms of -- yes, rental growth first half versus second half, I mean, whether Andy wants to comment, but I don’t tend to read much to it -- much into that other than they were both at the very high end compared to our normalized expectations. So we said to you, we don’t expect to see the exceptional levels of rental growth that we’ve had in the last couple of years being sustained forever. But we’ve said this many times before, I wouldn’t read too much anyway into 1 particular quarter, 6-monthly period or even sometimes a year. It just depends on what particular stock you’ve got, whether you’ve got new leases that can set new rental levels. So I’m afraid it come -- they’ll be like buses, rental growth -- rent-setting transactions come sometimes none for a while, and then you get 2 or 3 in a hurry. So I wouldn’t read much into it at all.
Andy Gulliford: Often down to the mix.
Operator: Just one more question currently from Aaron Guy of Citi.
Aaron Guy: Just a quick question. I know there’s been a few on the capital structure and deployment of capital. But just to get a little bit more sort of clarity on how you might sort of deploy capital over the next year. We’re in the price discovery sort of phase, I guess, downwards in assets, and we’ve all been in markets where the asset values have fallen 40%, 50% before. But how should we think about the deployment of capital into your development pipeline versus opportunities that are coming up the market? Is the first 6 months of this year kind of a price discovery phase or just sort of still the sidelines and watch and just do pre-lets and sort of sensible development and then maybe ramp up some acquisitions in the back half of the year into 2024? Or is -- do you think the value decline is largely done, and actually, you might bring forward some opportunities that you’re seeing? Just trying to sort of get a little bit more detail around what investors should be putting in their models for the capital allocation.
David Sleath: I think we sort of alluded to the answer of various points on some of the other questions. But I -- our view is that first of all, there are very few assets and portfolios that trade that would match our high-quality threshold. So we’re not expecting to have a whole sea of opportunities anyway. We do think we’ve got a very attractive, profitable opportunity to deploy capital into our existing land bank and, indeed, topping up the land bank in a few cases. So that will be our first priority. But we’re definitely keeping eyes open for what’s happening in the investment market. And if something of interest came along, we would look at it. But frankly, who knows how the year is going to play out? So we talked about having optionality. We’ve got a strong balance sheet. We don’t have to do anything, manage our assets well, deploy capital well into the development pipeline and keep our eyes open for other opportunities that may come along, and we’ll adapt accordingly. Okay. I think -- or we’ve got a couple of more questions coming.
Claire Mogford: Two quick questions from the webcast. We’ve covered some of them, so I won’t repeat them. But the 2 that we haven’t covered: Are you planning to expand to any other Eastern European countries given the successful story in Poland?
David Sleath: Not for the time being. We’ve got plenty to do in our existing markets, and that will be our focus.
Claire Mogford: Perfect. And the final question, with the development pipeline ambitions, could we see LTV, excluding any valuation movements, at 40% by the end of the year?
Soumen Das: It depends. It comes back to the whole question as to kind of funding and the various mix of components that we have. Look, I’ve seen, over the last years, a number of analysts trying to take the entirety of what is really a multiyear, 5-year development program and throw in £3 billion of CapEx and see what it does to our loan to value. The world doesn’t work like that. The reality is, I keep saying, we’ve kept our leverage low for the last couple of years to give ourselves the opportunity to keep doing what we need to do at any given point in time. So we have the capacity to be able to fund that £600 million, hopefully more, CapEx through the course of this year and into next year as well. But if the opportunity set grows, then we’ll look at how we fund it to the mix of levers that we have.
Claire Mogford: That’s all the questions.
David Sleath: Very good. Right. Well, thank you all very much for your attention and for sticking with us, and have a good day and a great weekend. Bye for now.